Operator: Good afternoon, and welcome to the Semler Scientific Second Quarter 2022 Financial Results Conference Call. . I would now like to introduce Doug Murphy-Chutorian, CEO of Semler Scientific. Please go ahead.
Douglas Murphy-Chutorian: Good afternoon, everyone. Thank you for joining us for our second quarter 2022 results call. It is my pleasure to introduce you to Renae Cormier, who joined Semler in May as Head of Corporate Communication and Business Strategy. Renae has had extensive experience in finance and accounting and was most recently on the buy side. Some of you have had the opportunity to speak to her already.  Please welcome Renae.
Renae Cormier: Thank you, Doug. Good afternoon, and thank you for joining us today. I'm excited to be here and looking forward to engaging with the investment community and our shareholders. In addition to Doug, with me today is Andy Weinstein, SVP, Finance and Accounting. Dennis Rosenberg could not join us today because he is battling COVID. We wish him a speedy recovery. Doug, Andy and I will be available for Q&A following today's prepared remarks.  Before we begin, I need to remind you that certain comments made during this call may constitute forward-looking statements and are made pursuant to and within the meaning of the safe harbor provisions of the Private Securities Litigation Reform Act of 1995 as amended. These include statements regarding our expectations for expansion of our business and additional products as well as our financial guidance.  Such forward-looking statements are subject to both known and unknown risks and uncertainties that could cause actual results to differ materially from such statements. Those risks and uncertainties are described in the press release and our SEC filings. The forward-looking statements made today are as of the date of this call, and we do not undertake any obligation to update our forward-looking statements. If you do not have a copy of today's release, you may obtain one by visiting the Investor Relations page of our website, semlerscientific.com.  We're pleased to report that during the second quarter of 2022, the company reported record quarterly revenues and cash balances. We are beginning to see traction from the independent peer-reviewed study on QuantaFlo, which was published in June 2022 in its final form. Orders from existing customers are increasing, and we are receiving orders from new customers.  I would now like to turn the call over to Andy to describe our financial performance in more detail. Andy?
Andrew Weinstein: Thanks, Renae. Please refer to the financial results described in the press release that was distributed at market close today.  For the quarter ended June 30, 2022, revenue was $14.8 million, an increase of 4% compared to the corresponding period of 2021 of $14.3 million. Fixed fee revenues were $8.5 million, an increase of 12% year-over-year. Variable fee revenues were $6 million, a decrease of 8% year-over-year.  Equipment and other revenues were $300,000, an increase of 40% year-over-year. Our staff and many of our customers and prospects experienced a higher-than-normal rate of employee absenteeism due to illness from the COVID-19 pandemic, which we believe had a slowing effect on our sales cycle in the first half of 2022. Although these absences lessened during the second quarter compared to the first quarter of 2022.  On the variable fee side, our results are being compared to a record quarter of revenues in the prior year. As we have discussed before, we saw seasonality for the first time in 2021 in our Health Risk Assessment or HRA business. We believe testing by our customers and thus variable fee revenue for us was pulled forward for fear there could be a further COVID-19-related lockdowns later in the year that would prohibit performing in-home evaluations.  Therefore, in quarter 2 of 2021, variable fee revenues were unusually strong during the year-over-year comparisons. We believe in 2022, there still may be some seasonality, but not to the extent we saw in 2021. Furthermore, we also had a 40% increase in equipment sales to all HRA customers during the quarter, which supports our thesis about seasonality of 2022 compared to 2021. In the second quarter of 2022, our 2 largest customers, including their related affiliates, comprised 38% and 32% of revenues.  In the first quarter of 2022, revenue for our largest customer and including their related affiliates, was 39% of revenues. Our original reporting of Q1 revenue from our largest customer did not include all of their affiliates. Operating expenses, which includes the cost of revenue, were $9.6 million, an increase of 23% year-over-year from $7.8 million.  Operating expenses increased over the prior year period, primarily due to increased headcount in line with our business expansion plans, wage inflation, increased insurance and professional fees and the expiration of COVID-19-related payroll tax credits received in the prior year. We had income tax provision of $1.1 million for an effective tax rate of 22% compared to an income tax benefit of $200,000 or an effective tax rate benefit of 3%, which partially accounts for the difference in net income between the 2 periods. The change was primarily due to lower tax benefits associated with stock-based compensation plans. Net income was $4.1 million, a decrease of 39% year-over-year from $6.7 million. Net income was $0.51 per diluted share, which compares to $0.83 per diluted share at the same time last year.  For the quarter ended June 30, 2022, weighted average basic share count was 6.8 million and weighted average diluted share count was 8 million. We repurchased 99,000 shares for $2.8 million during the quarter at an average price of $28.75 per share. We had cash and cash equivalents at the end of the quarter of $40 million.  Now on to guidance. Second quarter 2022 revenue came in without the guidance range, while operating expenses were lower than our guidance. As such, we have made some adjustments to our full year guidance. We continue to expect annual revenue will be in the range of $58 million to $60 million. We have changed our expectation for operating expenses, which includes cost of revenue to a range of $42.5 million to $44 million, which is less than our other guidance of $44 million to $46 million.  Given the uncertainty around the extent of seasonality this year, we are not giving specific Q3 guidance. We do believe revenue growth will accelerate in the second half of 2022 to 14% to 21% compared to the second half of 2021. We are confident in our guidance given the increased orders received in Q2. We see customer interest in our product increasing, and the Nevada Paper should further support growth. We do not expect revenues from the QuantaFlo product extension or Insulin Insights to be material in 2022, but should provide growth next year in 2023.  For the remainder of 2022, Semler expects continued profitability and generation of cash from operating activities. At the end of the second quarter of 2022, headcount was 121 employees compared to 122 at the end of the first quarter 2022. In 2021, we expanded our staff and operating expenses to pave the way for the return to higher revenue growth rate.  In the first half of 2022, we were able to achieve operating efficiencies in our sales organization that allow us to also predict increased growth at a lower operating expense than our previous guidance. We do expect to file our quarterly report on Form 10-Q on or around August 5, 2022.  Now I'll ask Renae to continue the discussion and provide concluding remarks. Renae?
Renae Cormier: Our R&D goals continue to be to upgrade the existing product and data services to commercialize other internally developed services and products and to in-license or distribute new services and products, which we believe can provide enhanced value to our customers.  Our business development goals are to make new additions to our customer base, expand orders from existing customers, introduce additional products to our customers, both through upgrades to existing product and data services and new products and further establish our QuantaFlo product as a standard of care in the industry. We believe that the market for vascular disease testing is larger than our current market penetration. So there is room for continued growth. We continue to invest in R&D with the goal of providing innovative products that enhance value to our customers now and in the future.  Last quarter, we reported a large customer had published the data underscoring the benefits of using QuantaFlo on asymptomatic patients, which we refer to as the Nevada Paper. Formally published in June 2022 in the Journal of Vascular Surgery, we're currently introducing the data and findings of the Nevada Paper to existing and potential clients. While nothing happens overnight, when the message permeates the medical community, we believe new customers might be more attracted to use QuantaFlo and we'll move further to our goal of having QuantaFlo become the standard of care.  Among other things, the study showed a positive PAD screen with QuantaFlo has the potential for PAD risk management at the population level. Semler Scientific believes that this study supports the use of QuantaFlo and highlights the benefits that the product brings to our customers and the patients they care for. Thus, it might drive further adoption of QuantaFlo by existing and new customers. A link to the study can be found in the Investor Relations section of our website under Press Releases.  We also announced last quarter that QuantaFlo can now be used as an aid to identify patients who would benefit from further evaluation for another cardiovascular disease. We believe this extension of QuantaFlo through our internal development efforts may make it even more valuable to assist the medical community in the future, including Medicare Advantage providers. We intend to sell this extension to our existing customer base and others as an upgrade to our software-as-a-service business model.  Other key points regarding this extension are the unserved clinical problem may be as important as PAD, a medical aids performs the test in a primary care setting similar to how one uses QuantaFlo for PAD. It uses the existing FDA clearance as we anticipated this extension many years ago. The technology is protected by trade secrets.  We have submitted the data to a peer-reviewed journal for publication. We're very excited to share the data with you and we'll share it as soon as it is published. Because the peer review and publication date are controlled by the publisher, the timing is not under our control. We can update at this time that the process of selling the product has begun. We are far along in discussions with a handful of customers. These customers represent a range of sizes and feedback has been very positive. The product is on the shelf and ready to ship as soon as the contracts are signed.  Regarding Insulin Insights, we continue to be in beta launch with several smaller customers. The initial feedback has been positive, and if all goes well with the beta launch, we plan to market it to our established base of customers. There is minimal revenue included in our fiscal 2022 guidance for Insulin Insights.  You may recall that Insulin Insights is a software program that a health care provider can use to optimize outpatient insulin dosing of diabetic patients. It is a glycemic management software program that runs on the desktop of primary care physicians to help manage insulin-dependent patients with Type 1 and Type 2 diabetes. The algorithm is designed to analyze the data from glucometers in combination with patient information and meal patterns. The software is used to provide patient-specific insulin dosing to the clinician in order to adjust and maintain optimal blood glucose levels. It will be sold under a SaaS model based on a per patient per month fee. There is no hardware involved.  I'd like to take a moment to frame the diabetes market. Around 12% of the adult population or over 30 million people in the U.S. have diabetes. The occurrence in adults over 65 years old is even greater at approximately 25% of the population or over 15 million people. Of that population, around 30% on insulin and another 40% on another medication to manage diabetes. Both of these groups are our initial target markets.  During the quarter, we acquired 2 outstanding convertible notes from private parties of Mellitus Health, Insulin Insights owner for a purchase price of $179,000. In addition, we own -- loaned Mellitus $1 million through senior secured promissory notes.  In regards to share repurchases, we were actively buying back our stock in the open market during the quarter. Year-to-date, we have repurchased just under $3 million or 100,000 shares. We have $17 million remaining on the Board authorized stock repurchase program. The timing and amount of any future transactions will be subject to our discretion based upon market conditions and other opportunities that we may have for the use of investment in cash balances. Our goal is to maximize shareholder value.  During the quarter, we participated in numerous investor calls and during Q3, we plan to participate in investor conferences and virtual non-deal roadshows, including presenting at the 7th Annual Needham Virtual MedTech Diagnostics 1x1 Conference the week of August 15, the H.C. Wainwright Global Investment Conference on September 12 and Lake Street 6th Annual Best Ideas Growth Conference on September 14. Thank you for your interest in the company and your continued support.  Now operator, please open the lines. Doug, Andy and I will be happy to address your questions.
Operator: . Our first question comes from Brooks O'Neil from Lake Street Capital Markets.
Brooks O'Neil: Welcome, Renae. I just want to say, Renae, you've already given us more information by far than these other 2 guys have given us in all the time I've covered the company. So I'm excited to have you here. So I have a few questions for you. Obviously, a pretty strong quarter, which is great. Do you see -- the seasonality last year, I know it was quite extreme and obviously, in response to the very unprecedented impact of COVID. But do you see any indication at all that either your fee per test clients or your fixed fee clients have lost any enthusiasm for using QuantaFlo to test their patients?
Renae Cormier: No, we haven't. And I would say that it's quite the opposite. We are seeing increased interest both from new customers and existing customers in the product. And one of the things in particular that we highlighted in our remarks was that the sales for equipment revenue to our HRA customers did increase 40% during the second quarter, which is one of the reasons that it gives us confidence in both our revenue guidance and in thinking that the seasonality this year will be less severe than it was last year.
Brooks O'Neil: Yes. That's great. Let me ask you another question that I just struggle with all the time. Obviously, in my view, the use of QuantaFlo by Medicare Advantage health plans is both clinically appropriate and is a complete another no-brainer from a business perspective in my view.  Are you seeing additional health plans begin to recognize what your 2 largest customers have seen and known for several years now? I mean -- or maybe I should ask you also what do you think it is that's causing some of these other health plans that aren't really stepping up to the party to stay away at this time because it's such a -- both a clinical no-brainer and it's a financial no-brainer from my perspective.
Renae Cormier: Right. Yes. No, I think that we are seeing interest from other customers. And one of the things that I think has maybe prohibited or paused some people in the past is that they don't have access to the data that our largest customers have. And one of the things that we're really excited about this Nevada Paper is it actually is from one of our largest customers, it spans a multiyear period, so from data starting in 2016. So it really provides the market and others out there with some solid data on the results. And certainly, the results that they've seen and what's published in there should be compelling to have more customers adopt it.
Brooks O'Neil: Okay. That's good. Let me ask just one more, and I appreciate it. And I don't know if Andy or Doug wants to say anything about this one. But I'm just curious if your initial efforts to sell this line extension or make it available to your customers, are you actually selling the product to your customers today? I mean, have you seen any willingness to pay incremental dollars to buy this product? And if so, can you give us any feel for sort of the pricing dynamics and how it might affect the business when it does begin to contribute revenue to the company?
Douglas Murphy-Chutorian: Do you want to start?
Renae Cormier: Sure. Why don't I start and then, Doug, you can add some in here on this. So as we mentioned, we are far along in speaking with customers. So we haven't signed contracts yet. We aren't disclosing our pricing yet on this, but we do see that customers are excited about this product. And obviously, it's new. So they want to see how it's going to fit within their current business. And so we will expect also to update you guys on what this is as soon as this publication is out there. So Doug, do you have anything else to add or Andy?
Douglas Murphy-Chutorian: I think, we feel that it's got a value profit restriction that is going to be exciting to our customers. But we have to get their first contract signed and turning into reality. So more to add later on in the quarter.
Operator: The next question comes from Marc Wiesenberger from B. Riley Securities.
Marc Wiesenberger: Just following up on Brooks' question in terms of maybe additional payers and the Nevada Paper. Previously, some of these other payers have considered QuantaFlo experimental, has this Nevada Paper to your knowledge changed that classification from any of these payers so far?
Renae Cormier: I can't comment on that they've changed their classification. And I know that a lot of them come out once a year and what's qualified as experimental or not. But I do know that they are receiving this well. Doug, I don't know if you have any other comments?
Douglas Murphy-Chutorian: I think that you said it all. I think we anticipate this Nevada Paper and the definition of asymptomatic patients that need test to maintain that they have increased risk for anything they have a positive test. It's important to understand what justifies additional payments from CMS, and it justifies the additional risk. If we do apparently can do something about if you know it. If you don't know what you can't do anything. So I think it's going to be convincing to anybody. And the few or maybe all the guys that are thinking it's experimental, it's going to be very convincing.
Marc Wiesenberger: Understood. And then you guys talked about the strength in the equipment sales that provides confidence in your HRA and variable fee business. I'm wondering if you could give us any indication on how many QuantaFlo units maybe have been shipped out but not yet activated. And I think I'm specifically referring to kind of the fixed fee channel. And maybe if you could kind of put that in context relative to the units that are actually in the field and generating revenue.
Renae Cormier: Yes. So Marc, I think you know in the past that we haven't really talked about the units that we have out there nor the units we shipped. So at this time, I think we're going to remain not talking about our unit numbers.
Marc Wiesenberger: Would you say that you have the same level of confidence in the fixed fee business that you have talked about in terms of the variable fee in the back half and going forward?
Renae Cormier: Yes. So we're seeing momentum in both of them. And obviously, the fixed fee, we give those to our fixed fee customers instead of sell them. So you're not seeing that on the revenue line.
Marc Wiesenberger: Okay. And then any sense if the target patient populations for testing has changed or the frequency that your customers are looking to test their patient populations?
Renae Cormier: No, we have not seen anything in terms of changes of the age or the difference in the population. And also I think with the past 2 years as far as the disruption, especially in the HRA market and some of the tests being performed virtually instead of in person. There was some disruption in there. And so while we are suggesting that all of our patients should be tested every year. In practice, it could be every year, it could be every other year, it could be longer, and it's really dependent upon the direction of the HRAs and then also their payer clients.
Marc Wiesenberger: Understood. Just a few more from me. You mentioned the Insulin Insights product, but I didn't hear anything about your Discern Alzheimer's test. And I think there was a recent press release talking about commercial launch in Texas. I'm wondering if you could expand on that and maybe potential revenue opportunities this year and maybe into next year?
Renae Cormier: Yes, sure. So from our perspective, we really didn't have an update. So we are an equity investment in SYNAPS, which is Discern's parent company. So we don't have a distribution agreement. So at this time, we won't be recording any revenue from them since it's only an equity investment.
Marc Wiesenberger: Got it. Understood. And then just the final 2 for me. What are your expectations for headcount growth in the back half of the year if at all? And then I think there was a $2 million increase in your noncurrent assets that I don't think you addressed either in the prepared remarks or the press release and what was that for?
Renae Cormier: Sure. So on the expense and head count side. So as you know, we did ramp up our hiring in 2021 in anticipation of this Nevada Paper and then also the new product launch. And we are fairly set on our headcount, but we do have some open positions. So if you look at our expenses for H1 to H2, they are expected to ramp a bit, but that's all within our plans. So you might see some head count go up. And then for the -- my gosh, I can't believe I did this. The second question?
Marc Wiesenberger: The $2 million increase in noncurrent assets?
Renae Cormier: Oh, yes, the 2 -- sure. So that was just a reclass from current assets, and that was related to Insulin Insights and prepaid license fees for our distribution agreement.
Operator: This concludes our question-and-answer session. I'd like to turn the conference back over to Renae Cormier for any closing remarks.
Renae Cormier: Thank you, everyone, for joining us today. We remain optimistic about our future and look forward to updating you soon on our continued progress. Have a good night.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.